Operator: Good day and welcome to the Fourth Quarter 2014 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Denis Jasmin, VP of Investor Relations. Please go ahead Mr. Jasmin.
Denis Jasmin:
Robert Card: Merci Denis and thank you all for joining us today. 2014 was a year of progress on our strategic plans. Let me provide some quick highlights that I will elaborate on during my talk today. In summary, we significantly grew, retooled and strengthened the engineering construction business with the acquisition of Kentz, our restructuring SG&A reductions and system enhancements. We continue to improve our corporate social responsibility program with excellence in ethics and compliance, health and safety, environment and other key areas. We successfully completed the first phase of our planned monetization of mature ICI assets, including a highly successful sale of AltaLink. We completed recruiting of our Senior Executive Team with top talent now in place in everyone of our 11 business units. Regarding Kentz, this acquisition completed in August transformed our oil and gas capabilities into a Tier 1 peer group position and has the potential to deploy Kentz high end construction capability to other business units. We have since completed our 100 day integration program that's generated approximately 70 million in synergies, 20 million more than originally forecasted. Despite the recent downturn in the oil and gas sector, Kentz continues to deliver value with a stable backlog and important new contracts in Iraq, Qatar and Saudi Arabia. Further the Kentz combination enhances our already strong position in Middle-East to make us one of the largest, if not the largest western firm in the region. With 8,000 employees overall and thousands of additional contract resources combined with strong local content in both our leadership and staff, we have market leading capabilities. Having been in the region just a few weeks ago, I can attest that opportunities are bound even with today's oil prices. The combination also significantly bolsters our strength in Australia and the growing Southeast Africa region and adds new skills to help us in the Americas. In addition, this may push us to the CAD10 billion revenue mark this year with more than 40,000 employees. As our integrated one company approach takes root, we're seeing greater cross-company synergies at SNC Lavalin on both the revenue and cost side. This coupled with our enhanced account management program should pay dividends as we move further through the sales cycle later this year. During the year we also substantially balanced our ICI portfolio. In Q4, we finalized a sale of our interest in Astoria Project Partners and as mentioned we closed on the sale of our 100% equity stake in AltaLink to Berkshire Hathaway Energy. We'll continue to be active in the ICI space and see a growing list of new opportunities for project investment to support E&C business. We're also making good progress on the process for the potential sale of Highway 407 this year. We are proud of the strategic achievements that will enable us to pursue growth opportunities in efficient manner. On the other hand, persistent challenges on certain projects and softening global economic and end-market conditions have slowed our financial progress. As a result in November, we took action on our plan to realign a restructuring organization in ways that will enhance our agility and improve our ability to address the needs of our clients. In the fourth quarter 2014, we made significant progress on this plan, recording more than CAD260 million or nearly 90% of the total charges that we expect to record over the plan's life. All of these improvements continue to strengthen our excellent position to compete for and win significant projects that align with our rigorous risk management standards and we remain optimistic about our long-term E&C operational performance. Our enhanced proposal review and approval process and more efficient cost controls have also put us in a much better position to deliver outstanding projects. To name just a few recent wins, our oil and gas group signed a project management contract agreement in Iraq with one of the world's leading international oil companies. The agreement which is for a three year term has a potential value that could exceed 100 million and was facilitated by the combined power of the SNC Lavalin and Kentz organizations coming together. In Qatar, our oil and gas group was also awarded a four year multi-million dollar call-off contract with a possible two year extension by Qatar Shell for its Pearl GPL onshore and offshore facilities. With our partner Innisfree, our O&M group is now providing operation and maintenance services for the new McGill University Health Center's Glennsite Hospital Complex in Montreal for the next 30 years. This is following a receipt of substantial completion certificate for the project in Q4. Our team provide the design construction financing for this project. Before I turn to our results, I'd like to address the recent charges by the Public Prosecution Service of Canada. These charges are related to alleged reprehensible deals in Libya by former employees who left the company a long ago. The Libya issue has been publicly known and disclosed by the Company three years ago. Note that SNC Lavalin was recognizes a victim in Suisse proceedings against one of these employees and we received certain amounts of money. Also note that these charges are not related to the MUHC investigation. SNC Lavalin has not been charged in this investigation and the charges against individuals in this case also identify SNC Lavalin as a potential victim. We agree that any individual who broke the law should be brought to justice as we will continue to full cooperate the authorities in this regard and we will consider claims against any such individuals to recover damages the Company has suffered. To the extent charges are appropriate, they believe that they would be correctly applied against the individuals in question and not the company. In this context, in the interest of our employee's families, partners, clients, investors and stakeholders, we have no choice but to aggressively contest the charges. We have always been remaining willing to reach reasonable and fair solution which promotes accountability while protecting the innocent. In the meantime we look forward to continuing our constructive and cooperative relationship with the authorities. I want to stress that with these charges there is no change to our write and ability to bid or work on any public to private projects. As noted over the past few years, we have taken significant actions to reform our Apex and compliance program with the ongoing objective becoming a benchmark in the industry. The tone from the top is clear and unequivocal. There is zero tolerance for ethics infractions at SNC Lavalin, and we have industry leading standards to judge them by. SNC Lavalin is committed to Quebec and Canada. We're proud to be a national champion and we think Canada should be proud of the Company and its commitment to become both an FX leader and a tier 1 global competitor. We'll continue to work towards the resolution of this issue in the interest of our all stakeholders. Now moving on to our results, earnings for the year were CAD1.3 billion, compared to CAD36 million in 2013. This increase was mainly due to a net gain on disposal of AltaLink. Company recorded an adjusted net income from E&C for the year of CAD55 million compared to an adjusted loss of CAD134 million for the year of 2013. ICI, excluding the gains on disposal continue to perform well. We have a strong balance sheet. Our cash position was CAD1.7 billion at year end and is expected to remain in a comfortable position following a large tax payment due in Q1 2015 on the AltaLink sale. Our equity increased by 62% in the year and now stands at CAD3.3 billion. Our revenue backlog totaled CAD12.3 billion, an increase of 49% since the beginning of the year, which mainly reflects the acquisition of Kentz. Alain-Pierre will discuss the numbers in more detail shortly. Moving now to our segment review. We believe our oil and gas sub segment is going to be a driver of our future growth and remain contributed to 2015 net come. I've already reviewed a few recent wins that has stemmed from our fully integrated solution. While we would all rather have higher oil prices, in the near term the position oil and gas backlog is stable, with potential for payment. This is helped by the following factors. Synergies with the combined enterprise, a strong role in sustaining capital, which is relatively more secure in the downturn, a position on key large projects which are in must complete phase and commanding presence in resilient geographies like the Middle East, and an outstanding industry reputation. In mining and metallurgy, our end to end project solution offering couple of those strong fertilizer positions has somewhat insulted us from market cyclicality. We continue to believe that recovery in this market will take some time likely into at least next year. That said, we're seeing some optimism as the aluminum market begins to recover coupled with the view by many that we are the global number one player in this market. Additionally other commodities have forecast to work of their capacity overhang toward the end of the decade and due to develop in lead times producers will need to begin to respond soon to meet any supply gas. The environment and water sub segment continues to be challenging. We have bolstered management in 2014 to enhance our ability to deliver in the future. We do not expect a recovery of this market until the general commodity markets share renewed strength. The power segment remained strong and we expect power to be a significant contributor to 2015 net income due to strength of our backlog and opportunities. For many years we have been part of the integrated engineering team for BC Hydro Site C which is the provinces largest active hydro development and we were pleased to see the project receive government sanction at the end of 2014. We celebrate the successful energization of the Heartland transmission line across the length of the end of 2014 and our new T&D team will deliver on numerous projects in 2015, including the West Alberta transmission project and they're actively pursuing opportunities with our key T&D plants. In our nuclear sector, our services based businesses is going well and our potential new build opportunities in China, Argentina, Romania and UK continue to make forward progress. We remain hopeful that a number of our project wins in our thermal group in 2014 are given the final project sanction this year. In infrastructure and construction we are improving profitability levels with negative EBIT decreasing versus last year. We've made major additions to our executive team in this area and are increasingly confident of our project delivery and risk management approach. This group has recently been awarded two district cooling contracts in Saudi Arabia and continue to see a very large near and medium term bid list in Canada with some key decisions due in the first half of this year. Given project ramp up lead times, meaningful contributions for many wins this year will be realized in 2016 and beyond. Operations and maintenance EBIT decreased versus last year, but we are encouraged by the increasing demand for projects using a public private partnership concession model. We've already more than replaced the marginal EBIT backlog from the phase out of the public works contract and are expecting an overall improvement this year. Finally as you read in our press release, we have decided to provide you with more precise guidance on our E&C core business. Therefore for 2015 we are targeting an adjusted EPS from E&C in a range of CAD1.30 to a CAD1.60. In conclusion I want to personally I want to personally thank all of our SNC-Lavalin clients for their support and our employees for their hard work and diligence. With more flexible and agile operations we will improve our competitive positioning and deliver even better services to clients' long-term value for our stakeholders and opportunities for our team. While market conditions remain challenging in 2015 we will execute on our focus strategy and advance our plan to become a global tier-1 E&C corp. With that I will pass the call over to Alain-Pierre to discuss our Q4 and 2014 results in more detail. Alain-Pierre?
Alain-Pierre Raynaud: Thank you, Bob. Good afternoon everyone. In 2014 we achieved significant milestones in our five year subsidy plan. We have completed and integrated the on-market [ph] acquisition of Kentz, executed our restructuring and rightsizing plan. We have announced our ICI portfolio with disposal of AltaLink, Astoria innovation and increased efficiencies through SG&A leverage. The Company has a very strong balance sheet. Our cash position is strong CAD1.7 billion. Our debt to equity ratio is low, 0.09 and our debt rating remains strong at BBB. We also have a strong renewal backlog which stood at CAD12.3 billion at the end of December 2014. I will start my presentation on Slide 6. Revenues for the year were CAD8.2 billion compared to CAD7.9 billion for 2013, principally due to increases in services, packages and ICI, mainly due to the incremental services and packages we moved from Kentz which we acquired on August 22, 2014. The gross margin amount for the year was 1.3 billion compared to 1.1 billion of 2013 representing gross margin to revenue ratios of 16% and 40% respectively. Note that the 2014 gross margin improved about CAD140 million of charges relating to the restructuring and rightsizing plan announcement of last November. Excluding these charges the gross margin of 2014 was 18%. SG&A expenses for the year totaled CAD841 million, in line with 2013, despite an incremental SG&A expenses of CAD68 billion in connection with the Kentz acquisition. This decrease CAD63 million without Kentz is mainly attributable to cost cuttings resulting from the company's restructuring plan implemented in the second half of 2013 and the Company's reports contains these costs under its value add program. The consolidated EBIT percentage was 6% for the year 2014 and minus 1% for the fourth quarter of 2014. If we exclude the CAD140 million of charges just mentioned, the EBIT percentage is actually 8% and 4% for the year 2014 and the fourth quarter of 2014 respectively. We also completed two ICI sales in the fourth quarter of 2014, the AltaLink and Astoria for total net gain of CAD1.6 billion. In the fourth quarter of 2014 we recorded CAD123 million of restructuring cost, goodwill and investment impairments. These charges relate to the restructuring and rightsizing plan announcements of last November. If you add this amount to the CAD120 million included in the gross margin it means we have recorded CAD263 million out of our #300 million announced plan so far. The decrease should be recorded in the next 14 months. In the fourth quarter of 2014 we also recorded CAD70 million of acquisition related and integration cost, bringing the year-to-date total to CAD63 million for this cost. Note that we have successfully completed our 100 day Kentz integration program which generated CAD70 billion in synergies, CAD20 million more than originally forecasted. During the quarter we also adjust our preliminary purchase price allocation for the Kentz acquisition. So preliminary intangible assets amount totaled CAD320 million, which will be amortized on a straight line basis for up to seven years, depending on each the underlying items. We recorded CAD37 million for the year 2014 and expect to record approximately CAD85 million or CAD65 million after tax in 2015. Note that this amount may vary depending on the U.S exchange rate. Lastly on this slide, we see the net income for 2014 was CAD1.3 billion, compared to CAD36 million in 2013. Turning to Slide 7, please. This slide shows that once we remove the non-core items, the adjusted consolidated net income in 2014 was CAD374 million, compared to CAD112 million in 2013. The adjusted net income from E&C was CAD65 million in 2014, compared to an adjusted net loss of CAD134 million in 2013, mainly due to a lower negative in EBIT in the infrastructure segments and an increased EBIT in the AW segment, mainly due to the oil and gas sub segment and a lower EBIT in the power segment. The adjusted net income from ICI was CAD319 million in 2014 compared to CAD245 million in 2013, mainly due to higher net income from AltaLink and higher dividends received from Highway 407, partially offset by a lower net income from [indiscernible]. Slide 8, Slide 8 presents revenue by segment. As we can see the REW group revenues increased, now representing 35% of total revenues due to the Kentz acquisition. REW revenues should continue to grow in 2015 as Kentz revenue only represented 19 weeks in 2014. Slide 9, Slide 9 presents revenue by geographic areas. We can see from the slide that acquiring Kentz allowed us to have a greater geographical diversity, decreasing the percentage of revenue from Canada, and increasing our international presence particularly in the Middle-East and Asia-Pacific region. Turning to Slide 10, please. Services gross margin decreased in 2014 compared to 2013, mainly due to charges relating to the restructuring and right-sizing plans. In addition, the decrease in the services gross margin to revenue ratio in 2014 compared to 2013 reflected change in the mix of revenue generated from certain Kentz activity such as field services which are cost reimbursable contract and accordingly generate a lower gross margin to revenue ratio. Gross margin for packages increased in 2014 compared to 2013, principally due to a favorable variance in the gross margin to revenue ratio infrastructure, as well as the higher gross margin in the REW, partially offset by lower volume of activity in power. The gross margin to revenue ratio infrastructure was partly attributable to reverseness [ph] in 2014 on non-cash provision on the North African project as without less than unfavorable cost we forecast losses in provision in 2014 compared to 2013. The higher gross margin in REW was mainly due to the incremental gross margin from Kentz, partially offset by a lower volume of activity in mining and metallurgy. The increase in margin amount from ICI is mainly due to higher gross margin from AltaLink, partially offset by a lower contribution from SKH. Now turning to Slide 11 please. SG&A expenses for the year totaled CAD841 million, in line with 2013, despite the incremental G&A expenses of CAD68 million in connection with the Kentz acquisition. G&A expenses excluding Kentz decreased every quarter except in the third, as we have succeeded in stabilizing these expenses. As mentioned earlier, this decrease is mainly attributable to cost savings resulting from the Company's restructuring plan implemented in 2013 and the companies look forward to contain these costs and grow its value up forward. Now turning to Slide 12. Net financial expenses increased to CAD220 million in 2014 compared to CAD151 million in 2013. Net financial expenses from ICI increased by CAD50 million mainly due to higher interest expense on additional non-recourse debt mainly related to the AltaLink and [indiscernible] partnership. Net financial expenses from E&C increased by CAD90 million, mainly resulting from cost of CAD37 million related to the temporary additional financing for the acquisition of Kentz and the incremental cost of the unsecured revolving credit agreement entered into in December 2013, partially offset by net foreign exchange gain in 2014. Slide 13 now. Slide 13 presents the EBIT and adjusted-EBIT by segment for better comparison. The adjusted segment EBIT represents a segment EBIT less the gains on disposal of ICI, the CAD140 million charge mentioned earlier relating to the restructuring and right-sizing plan announcement of last November as well as the impairment of investment of CAD29 million, which per IFRS has to be recorded in the segment EBIT. As you can see the infrastructure and construction and environment and water sectors remain challenging. First, negative fixed price contract negatively impacted the infrastructures and construction 2014 adjusted segment EBIT by a net amount of CAD112 million. This negative impact was partially offset by a less favorable impact of CAD35 million following a risk provision reversible on media. Second, the 2014 negative segment EBIT for environment and water resulted mainly from insufficient gross margin to cover its SG&A expenses. Third, also note that power had a lower segment EBIT. The decrease is mainly due to a lower volume of activity, primarily in packages due to the end of important project without the link in nuclear partially offset by a less than favorable impact from additional reserves and cost forecasts. Fourth, lastly, note that CAD111 million of EBIT from Kentz was recorded in the oil and gas segment for the period of August 22nd to December 31, 2014. Now turning to Slide 14 please. Revenue backlog totaled CAD12.3 billion at the end of December 2014. This is slightly lower than September 2014 but 49% higher than December 2013. The increase is due to the services and package revenue backlog which grew largely due to the addition of Kentz revenue backlog, partially offset by a decrease in OEM. The next slide, Slide 15 shows our financial position. We can see that our cash and cash equivalents totaled CAD1.7 billion at December 31, which is CAD600 million higher than at the end of December 2013. But note that [indiscernible] CAD8 million of income taxes on the gain of disposal of AltaLink as not yet been paid. It is expected to be paid into first quarter for 2015. I also want to bring your attention to line goodwill related to Kentz acquisition and intangible assets related to Kentz acquisition. As mentioned earlier during the quarter we are just over preliminary purchase by allocation for the Kentz acquisition and we notified the intangible assets which amount to CAD301 million as of December 31, 2014. The purchased price allocation is preliminary and will only be considered that definitive in the third quarter of 2015. Also in December, following the disposition of AltaLink the company repaid in full the outstanding balance of its acquisition credit facility, as well as the outstanding balance of the non-recourse debt related to the financing as the Company's contribution in our balance sheet. Therefore the only debt left on the balance sheet is our 10 year debentures of CAD349 million and CAD551 million of non-recourse debt, mainly related to [indiscernible]. The Company also have access to credit facility totally CAD4.25 million that may be used for reinsurance of settlements and financial letters of credit as well as casual use of CapEx CAD1.8 million in virtues right now. In summary, we a strong balance sheet with a strong cash position, a lower cost debt to equity ratio of 00.9, good credit facility and a strong BBB credit rating. Slide 16 now, slide 16 summarize the cash flow variation for the year. It's the most difficult variation where the cash flow comes to proceed as the outgoing sale and the cash outflow from the acquisition of Kentz. Now turning to Slide 17, we have decided to change the metrics on which the guidance is based to help you better valuate our core E&C earning. The Company is targeting an adjusted EPS from IP&C for 2015 of CAD1.30 to CAD1.60. The adjusted EPS from E&C exclude charges related to the restructuring and licensed to be planned which are expected to be approximately CAD60 million of taxes as well as the amortization of intangible assets and acquisition and integration cost incurred in connection with acquisition of Kentz, which is expected to be approximately CAD65 million at the target this year. This concludes my part of the presentation. We can now open the lines of questions. Thank you.
Operator: (Operator Instructions). We will now take our first question from Sara O’Brien from RBC Capital Markets. Please go ahead. 
Sara O'Brien: Wondering if you can help us reconcile the outlook for FY15 at CAD1.30 to CAD1.60. Just wondering what are the base assumptions there? Is it continuous current level of backlog, or are there other pressured contracts that are expected, that have been bid, not problem maybe, but lower margin? If you could just give us a little bit more detail on where that guidance is coming from?
Robert Card: Well Sara this is Bob the guidance is of course the combination of everything that we see out there. So maybe if you could be a little bit more specific and help us on what you're probing at, whether it's project performance in or.
Sara O'Brien : Sure. Let's maybe start with revenue in terms of current backlog prospects. Has there been any major change from Q4 going into Q1 and Q2? It sounds like not for Kentz, but maybe on the legacy SNC business? 
Alain-Pierre Raynaud: In terms of backlog, what we anticipate for next year at least for the second part -- for the first part of the year is a possible increase in our backlog. As you know, we -- our portfolio of projects in the pipeline is huge, and we hope to be capable to win a certain number of important projects during this first part of the years. So we don't anticipate any declines, decrease in our backlog. But we don't embed it in our forecast and our guidance, potentially significant progress in our backlog. So we are let's say steadily in the range of CAD12.5 -- around CAD1.0 billion for next year.
Sara O'Brien : So I was -- just on the margin front then, are you expecting any significant change to gross margin on the core E&C business? Both in services and packages? 
Alain-Pierre Raynaud: If you are referring to the adjusted gross margin, let's say after elimination of the provision for restructuring and right-sizing plan, we consider the gross margin will be regularly improve over the year. 
Sara O'Brien : Sorry, that it will improve in F'15?
Alain-Pierre Raynaud: Which is why we compare to 2014. We fixed the guidance between CAD1.3 and CAD1.6. 
Sara O'Brien: Okay. And then maybe, Bob, just on the capital allocation question, given the charges that have been laid against SNC. It sounds like you're still en route to sell 407 this year. Just wondering, can you comment on use of proceeds? Has anything changed in the strategy in terms of redeploying that into E&C or are you thinking about things a little differently, now?
Robert Card: Well there has been no fundamental change Sara. As we've said before, we're always looking at all options to have regarding shareholder value and the long-term interest of the Company. So we're constantly assessing the landscape for all of that and we will make appropriate decisions. So we certainly recognize we have a robust cash position.
Sara O'Brien: Okay, and when the comment in the MD&A about near-term sale, can you qualify what that means? 
Robert Card: Well as I said -- and my statement this year, so last year we were saying the early part of midterm and now we're saying this year is our plan. We want to see everything works out but that's what we're gearing toward and as I have mentioned before it's a complicated process to extract full value from. Our team is doing a great job on it and I think the approach we've taken so far is very good. So I'm quite pleased with how that’s rolling out. We've a more I's to dot and T's to cross and then we'll be back with you. 
Operator: Thank you. We will now take our next question from Michael Tupholme from TD Securities. Please go ahead. 
Michael Tupholme : Thanks. Just to follow up on the 407, Bob, is the process and the timing at all dependent on how the underlying E&C business progresses and turns around? 
Robert Card: Well it's certainly -- as I have mentioned the factors that we consider is one is market timing for the sale, which still looks attractive and we're viewing -- it's going to be attractive for the next several months or longer. We will look at the health and stability of the E&C business and the challenges confronting it, and then we look at the use of proceeds and the various impacts of it in our income statement and balance sheet. So we take all those together and our current view is this year looks like the target for creating a transaction. 
Michael Tupholme: Okay. And then next question is regarding Kentz. So solid performance again in the fourth quarter, and you did talk about this a little bit in your prepared remarks, but just wondering if you can talk a little bit more about the outlook there, and how that may have changed, if at all, for that business over the course of this year? And also in terms of its new awards prospects, since I guess we last talked on your Q3 call? 
Robert Card: Yes well of course CAD100 oil is better than CAD50 any day of the week when you're in the oil and gas business. That said, our view today is that what's happening with the reduction is more of a reduction of upside opportunity than creating downside on our estimate. So that’s why we're saying that we see things pretty stable so far. And things could change in that market or the client behavior could change, but today we remain pretty confident of what we'll produce in 2015. 
Michael Tupholme: Okay, thanks. And then just lastly, in terms of the infrastructure and construction sub segment, there was mention of some additional costs on a mass transit project. And I don't recall that being an area that had been previously mentioned as a challenging legacy project area. So can you just clarify that? And if possible, maybe provide a bit of a split between the mass transit costs versus I guess whatever was going through in terms of hospital-related costs? 
Robert Card: Yes, so that project I guess any guidance on…
Alain-Pierre Raynaud: We never provide with guidance on project. What we can say is that as we have done and we explain that a lot of the cost to mitigate and put our risk under control in this sector's activity. We have new people now at the top of this new infrastructure and we are pretty confident that we are in a position to fix the issue and to deliver and to recover partially the delay on a certain number of programs. 
Robert Card: On this one I would just say this to me, this is in a very different category than the ones we've been talking about. We ran into a geotechnical issue on a project. It's an isolated issue which appears to be remedied at this point and we don't have a lack of confidence in either the management or the setup of the project. So we don't view it as a recovery effort.
Operator: We will now take our next question from Burt Powell from BMO Capital Markets. Please go ahead. 
Burt Powell: Thanks. Bob, just want to go back to the 407. Are you running an auction process for that? Is that still the plan? To go out, or is that -- is there some gating issues before you can get there?
Robert Card: Well our 407 is a very challenging process to extract full value. As you all know we have partners and we have agreements that we're not privy to disclose between and among the partners. We have various options that we can exercise on our share and our advisory team is fully engaged in developing the best solution through all of that and we're quite pleased with where that's heading. So I'm not prepared to discuss where we might go with it, but just as with AltaLink we're going to be looking for the greatest value creation solution and I'm happy with the direction that it's going.
Burt Powell: And then I just want to come back to the guidance and Kentz certainly looked very strong this quarter with the EBIT. It looks like CAD80 million. If I just run-rate that and then there's a lot of assumptions that go into this, but if I look at the strength of Kentz against your guidance, it would almost be implying that the rest of the business is going to be breakeven or a loss. Is that how you structured the guidance? And then in thinking about the guidance, how much of the guidance has contemplated further negative developments on some of the legacy projects that have been issues for you so far?
Alain-Pierre Raynaud: If I may first, you're right, we don’t deliver guidance on Kentz particularly because Kentz would be merging our oil and gas and now is fully part of the E&C. What we can say, as I mentioned previously that our gross margin – adjusted gross margin of any restructuring cost which are not supposed to be repeated into 2015 will continue to grow. As I mentioned, G&A effort will give a full effect on 2015 and we hope to continue the savings despite the Kentz absorption as we already explained, and in term of finance cost the non-recourse interest paid on outstanding non-recourse debt will disappear out of our balance sheet and in my view that will reimburse our bridge facility, means that our interest will dramatically decrease except the one on our debentures. In term of market environment, as you know we are facing headwinds in most of our sectors. Mining, we already comment. Oil and gas you just referred to and some others. So we consider that the gross margin will continue to grow and accompanied with the G&A report and the final cost decrease will be capable to deliver the guidance.
Robert Card: And I think it's fair to say…
Burt Powell: But in all fairness, Kentz is a new business you're folding in. And we've got that business somewhat, some visibility to it by itself. So if we assume that the backlog and the premise under which you acquired Kentz continues to hold, then looking at the guidance, it certainly is -- it's implied that the rest of the business is going to remain very challenged through '15, or is that not the case? That's kind of what I'm after.
Robert Card: I think it's fair to say we said there is market headwinds. We still have while the risk of the projects we're dealing with. It is way down. They still sit there. And as you read through what I've said about the outlook, infrastructure is going to be definitely a drag on earnings. I mean that the team is doing an outstanding job and we're excited about the future, but what they're saddled with is going to be difficult to work off and then we have some slow market conditions going in a couple of other sectors that we talked about. So that balances out. When you put power on the strong upside and these on the strong downside, that's what you get out of it.
Burt Powell: How much of -- Bob is stuff that you're still struggling with from the past versus what is coming to the books since you've been there scrubbing the new awards?
Robert Card: Well I don’t want to dwell on past versus current versus future, but I would just say that when you look at the big project cycle, it's about four years. The sales cycle tends to be about 18 months. It takes another year to get margin off of wins. So we're still into that cycle and hopefully we're at the tail-end of that cycle, but we're still well into that cycle.
Burt Powell: So '16, you'll be clear of the tail-end of that cycle and we can start to see things pick up more materially?
Robert Card: We should be able to remove the downside aspects out of the system nearly completely for '16. Then we have the replacement with the upside and our modeling suggest that won't be fully complete, but the drag on the downside should be largely taken care of.
Operator: We will now take our next question from Yuri Lynk from Canaccord Genuity. Please go ahead.
Yuri Lynk: Hello. Kentz, I didn't see it if it was in the presentation, but the legacy backlog, I think it was down to about CAD500 million last quarter. Where does that stand today? 
Robert Card: I think that important -- I don’t what we have today but what's important is to margin in the backlog and there is backlog. So I don’t know if Alain-Pierre, you want to comment, but remember we had a fair bit of low margin work like the public works contract and the work for AltaLink that coming off the backlog, which does have a material effect on our profitability. 
Alain-Pierre Raynaud: Now let's see what so called is particular reasons about 3% of our backlog addition, versus the first and mainly one general hospital project which will last similar, the best 18 months. No more.
Robert Card: Yes, he is also asking Alain-Pierre about the decrease in the non Kentz backlog.
Alain-Pierre Raynaud: The non Kentz backlog it is used to let say the end of certain a number of important project, mainly in power, nuclear and mining. At this moment it's true that our book to bill ratio is slightly below 1. But as I mentioned we have a lot of projects in the pipe and we are pretty confident that we'll recover those ones over 2015.
Yuri Lynk: Okay. To go at Bert's question a different way, when you are looking at 2015 in the context of the guidance provided, is infrastructure and construction, is that running at a negative EBIT in your forecast? And mining, is that negative, too?
Robert Card: We said in the remarks that we were negative in infrastructure, but we're not negative in mining.
Yuri Lynk: And the issue there is, its low margin projects, and it sounds more like a utilization issue, Bob? Is that the case right now, given where --
Robert Card: For mining or –
Yuri Lynk: No, sorry, for infrastructure.
Robert Card: For infrastructure it's working off. It's still working off some zero calories, you may call it backlog. So you have to pay for all the systems and people and things to do that, and then replacing. You've got marketing cost to replace. We're optimistic about that. And then when you replace it, it's getting the margin in from a replacement. That’s why I said that if we do get some good news in the near future that will be more of a 2016 thing where you see it actually impact the bottom line in 2015.
Yuri Lynk: Okay. And on winning new business, obviously the headlines two weeks ago with the charges. Firstly, how surprising was that to you vis-a-vis your expectations say six months ago -- the down fall of the way it did. And any client feedback that you're getting, more increase or anything pointing to clients being a bit more gun shy towards hiring you given the news that’s out there.
Robert Card: On the later we haven’t seen it yet. In fact I've really grateful for the tremendous support we've got from many of our key clients calling and saying how we can help. So that’s been terrific. In terms of the process, of course we'd rather achieve the different outcome but what happened is the process in Canada, we had done our very best to have a different process and we're still going do our very best out to have a different process. That’s my day and night focus. So never give up is my motto and I'm confident that we're going to get there. So that’s what we're up to.
Yuri Lynk: And your preferred method of getting there is -- what's the end result? A settlement, or this thing goes to court in a few years? How do you see it playing out?
Robert Card: Obviously I mean the way that the Canada's economic peers handle this is they settle it with various conditions that in the opinion of those governments create the solution and they are looking for between sending the right public policy message and protecting their economy and innocent life standards. So we certainly hope that Canada wouldn’t get into a position like that. We'll continue to fight this vigorously until we achieve something like that. So that’s our position.
Operator: We will now take our next question from Benoit Poirier from Desjardins Securities. Please go ahead. 
Benoit Poirier: Just to come back on the Highway 407, obviously when we look at the net income, it was down in the quarter year-over-year. So I was wondering if you could provide any color on the weaker performance, and whether it would -- it could impact valuation.
Robert Card: Sorry, we can't disclose the 407 prospects. 
Alain-Pierre Raynaud: So just want to clarify Ben, are you saying that the net income from Highway 407 in '14 was actually 7% higher than '13?
Benoit Poirier: I am looking specifically in the fourth quarter. It seems that the net income. 
Alain-Pierre Raynaud: You got to look at it over the year. So they gave us [indiscernible] 
Benoit Poirier: Okay. Was there anything specific or negative during the quarter, right? 
Alain-Pierre Raynaud: No. 
Robert Card: No. 
Alain-Pierre Raynaud: And also 407 announced a Q1 dividend, which is actually 7% over Q1 last year. So that's pretty good.
Benoit Poirier: Okay, okay. Thanks. Second question, just in terms of water and environmental, you mentioned insufficient gross margin. So I would suspect it's more a matter of volume. And so, given the cash proceeds that you might use from -- you might receive from the 407, how should we be thinking about doing an acquisition versus some share buyback, given where your stock is right now?
Robert Card: Certainly the stock is a heck of a deal right now. But as I said earlier, we look at all these factors and the best way to create long-term value for the Company and shareholders. So I can't give you any more color on that. I am sorry right now but there is been -- no alternative has been excluded from consideration. 
Benoit Poirier: Okay. And just -- it seems that year-over-year there's a lot of potential opportunities for you this year, especially when we look at the size of a linked in [indiscernible] bridge. So what are you assuming right now in your 2015 outlook? And assuming you're not successful, should we assume further restructuring or further layoff?
Robert Card: Well, we're currently not planning any major further activity in 2015. As I said, we think we're really well positioned for some of these projects coming up in the near-term. So optimistic about them. But again should we be successful, it takes some time to ramp up. So there is not much in ours. Alain-Pierre said there's not much in our guidance one way or the other for these projects. 
Operator: We will not take our next question from Frederic Bastien from Raymond James. Please go ahead.
Frederic Bastien : I was wondering if there were any outstanding issues or milestones that you needed to hit in respect to the Kentz integration, or is it fully behind you now?
Robert Card: It's done. It has been since before the holidays, actually. It was a spectacular I might say so process thanks to the REW and the Kentz team and the corporate functions did a great job and its business as usual. 
Frederic Bastien: Okay. Next one, maybe a little bit more touchy, but I was wondering if you could please comment on your employee retention rates in Quebec, in Canada, and abroad? Are you seeing any changing trends? Is it improving? Is it deteriorating? And if it is deteriorating, what have you been doing to improve that?
Robert Card: So I have comp stats from the end of the year and our involuntary -- our voluntary employee turnover was right at peer group average. And it has been essentially that since I joined which says about of dedication and loyalty of our employees. So we very much appreciate that. We haven't seen any change in that this year and so far I think the employee reaction that I have seen to the announcements a couple of weeks ago have been of determined hostility. So we're going to go take care of the issue and we're going to go on and become a terrific E&C firm. 
Frederic Bastien: Thanks. And is this level of support, are you seeing that across the organization, across the regions?
Robert Card: Yes I mean because obviously Quebec is more impacted by this than anywhere else. So the further you get out and over the horizon, the less these issues that matter to the employees.
Operator: We will now take our next question from Leon Aghazarian from National Bank Financial. Please go ahead. 
Leon Aghazarian: Just following up on Kentz again. You mentioned that the integration has been completed. And I believe in the prepared remarks, you mentioned that the synergies were at CAD70 million, which exceeded your 50 million target. Can you just comment a little bit on how that was achieved, and what was I guess discovered or what really occurred there to lead to such a better number than expected?
Robert Card: It was a financial number. 
Alain-Pierre Raynaud: Yes, so you are right we announced CAD50 million and we deliver CAD70 million. CAD50 million is our EBIT level and CAD20 million in the finance income level. How we delivered that -- we -- most of the synergies has come in from let's say rationalization of our organization. As you know, Kentz has been de-listed for instance. So the Board disappeared. A lot of let's say general expenses related to that disappeared after that. We combined a certain number of offices all over the world in order to rationalize our geographical implementation and these disappear and so on. In term of finance, we organized the cash flowing just to illustrate my explanations it means that now for instance when we issue LCs, all accounts of all of the departments are benefiting of our global negotiation with the volume effect. You can imagine. We are reimbursed 100% of all debt of Kentz okay and we refinance on our own and you have seen that we have sanctioned cash to finance that on our own. We don’t grow our facilities at this [indiscernible]. So all in all, through this optimization in term of cash optimization, in term of tax optimization, in term of insurance also, we integrate Kentz over our insurance umbrella and all the rationalization of our organization combination of offices, regrouping of team over the different countries, we are working in we delivered that as announced and we deliver more.
Leon Aghazarian: My second question is regarding the CAD106 million in cost reforecast that was incurred for the hospitals and the mass transit. Can you give us a little bit more color on what happened there, specifically and if you're going to see any impacts on that in 2015? 
Alain-Pierre Raynaud: Let's say the most important explanation is coming from [indiscernible] team and the hospital is the last difficult legacy project. So we review publicly the action plan. We fix the issues and we -- now we are -- we estimate that we are in a very-very good position to deliver this project and to have it under full control.
Leon Aghazarian: So there won't be any further reforecast going forward then? That's been taken care of?
Alain-Pierre Raynaud: It is my dream, is my wish. Now a bit pragmatically we do owe -- now we have a new team in okay. We have Janet Welch [ph] joining infrastructure construction department. He's certainly one of the top guys in these sectors. He's really -- this action plan -- new action is really is the consequences of his personal involvement. We support all the department function, support infrastructure construction in order let's say to put this risk under control and to be able to deliver within the outlook we fixed and we are reasonably confident in achieving that.
Robert Card: Yes, we expect a much more stable 2015 than 2014 and '13, but risk remains in these projects even, after they're done with the initial construction.
Leon Aghazarian: And then just a final one for me would be on the work that you've done on the SG&A reduction. I know there's some restructuring as well that's still ongoing, but excluding that, do you see any further improvements or can we assume that that's -- the run-rate now that we can assume going forward on that? 
Alain-Pierre Raynaud: Yes, on this piece, so first we maintained the pressure there let's say to streamline our organization and to avoid let's say non-control expenses in this domain. And in this domain there is a lot of things we're targeting by travels, costs. So all these type of expenses are really under control. After that, you imagine that we devised this value-add program late in 2013. So we start to implement the actions over 2014. We had this result, we launched the restructuring plan late in Q4 2014 and we are expecting the full effect of legacy actions we'll take in 2014 in '15. On top of that, we'll have the full effect of the restructuring plan. So we are pretty confident that the trend, in terms of optimizing our fixed costs, that this will continue. Now we have to absorb additional dimension of our growth, Kentz, okay and Kentz is a very let's say -- pay a lot of attention how will they manage their G&A. So we are completely in line with the philosophy we have to develop lot to put this type of costs under control. So we are pretty confident in our capability to stay and let’s say and to be maybe better than the average of our peers.
Operator: There are no further questions at this time. You may continue.
Denis Jasmin: